Operator: Good morning, ladies and gentlemen, and welcome to the Rogers Sugar Inc. Analyst Call, November 28th Conference Call. [Operator Instructions] Before we begin, please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. Please also note that we may refer to some non-IFRS measures in our call. Please refer to the forward-looking disclaimers and non-IFRS measure definitions included in our public filings with the Securities Commission for more information on these items. A replay of this call will be available later today. The replay numbers and passcodes have been provided in our press release and an archived recording of this call will also be available on our website. I'll now turn the call over to Mike Walton, President and CEO of Rogers Sugar. Please go ahead.
Mike Walton: Thank you, operator, and good morning, everyone. Thank you all for joining us today. I'll begin the call today with a look at our strong financial results for the fourth quarter and the full fiscal year of 2024. I will also provide an update on the market conditions we are seeing in the Sugar and Maple businesses and on the work we are doing to position our company for the long-term success. Then I will turn it over to JS, our Chief Financial Officer, for a review of our financial results. I will conclude with an outlook for fiscal 2025. We have an investor presentation accompanying this call. This presentation is available on the Investor section of our website. Our strong results for 2024 demonstrates once again how we are delivering value to our customers and our shareholders through our focus on consistent, profitable, and sustainable growth. This is the philosophy behind our Rogers Refined plan that we have discussed with you in the past few conference calls. As a reminder, the four pillars of Rogers Refined are modernizing and growing in our Sugar business, driving profitability in Maple, maintaining a strong balance sheet, and advancing our ESG program. We are focusing our efforts and our resources in these key areas because we believe this is the right path to making Rogers Sugar a better company and a better investment. Once again, our results for the fourth quarter and the full year 2024 are showing the success of this plan. We are positioning our company to take advantage of the favorable market conditions we see today and in the years ahead, as we continue to focus on being an industry-leading supplier for our customers while creating value for our shareholders. Beginning with our fourth quarter results, we are reporting adjusted EBITDA of CAD38 million. This is an improvement of nearly CAD10 million compared to the fourth quarter last year. Both the Sugar and the Maple segments contributed to our Q4 profit growth. We achieved this with the benefit of healthy market-based pricing for our products combined with strong operational execution and unwavering focus on customer service. Turning to the full year results, our consolidated adjusted EBITDA was CAD142 million for 2024 compared with CAD110 million in 2023. In fact, over the past three years, we have delivered growth in our adjusted EBITDA of more than 55%. This was a direct result of our focus on being a supplier of choice to our sugar and maple customers and driving consistent sustainable profitable growth within today's favorable market conditions. Looking more closely at Sugar. Revenue in our Sugar segment grew by almost 7% in the fourth quarter and almost 12% for the full year. This was mainly the result of higher market prices for refining-related activities. Adjusted EBITDA in our Sugar segment had year-over-year growth of just under 45% for the quarter and over 25% for the full fiscal year. We delivered these results despite the labor disruption at our Vancouver facility in the first half of the year. As we discussed in our last call, the softness in demand from certain North American food and beverage processors persisted into the fourth quarter. This softness is attributable to inflation in food prices across the board and high prices of certain other commodities such as cocoa. To be clear, the food price inflation we are seeing is part of a global trend. Consumer demand has softened as consumers take time to adjust to the impact of broad-based inflation under their food bills. Overall, the impact of our business was a modest decrease of about 5% in sugar volumes for the fourth quarter. This general softness in demand, combined with the impact of our labor disruption in Vancouver in the first half of the year contributed to a decrease in sales volume for the full year of approximately 5%. We remain confident in the long-term demand for Canadian sugar. Our experienced leadership team has managed this business through past economic cycles. Once the broader market has had time to absorb the impact of inflationary pressure and input costs, the long-term upward trend in demand for sugar-containing products will resume. Now, looking at our Maple segment. We saw a strong recovery in 2024 from the challenges seen in 2022 and 2023. Sales volume increased by 15% for the quarter and 7% for the full year. A combination of volume growth and strong product pricing led to double-digit increases in revenue for the quarter and the full year compared with 2023. Profitability in the Maple segment continued to show the benefit of our earlier investments in operational efficiency. Adjusted EBITDA for the full year grew by over 35% to CAD18 million. We continued to make progress on our LEAP project. This is an important and necessary expansion and upgrade of our Montreal refinery and logistic infrastructure that will add an estimated 100,000 metric tonnes to our production capacity in Eastern Canada. We have mostly completed the planning and design phases associated with LEAP and the construction phase has begun. Orders for sugar refining equipment and other related large equipment have been placed with suppliers and some of that equipment is already on site. When we spoke last quarter, I noted that costs for certain key elements of the project were expected to exceed the initial estimates used in our calculations two years ago when we announced the project. Over the past few months, we have worked with our design and construction partners to gather the necessary data and we've reviewed and updated those calculations. We now estimate the total cost to complete LEAP project will range between CAD280 million and CAD300 million. Contributors to this cost increase include evolution in the design driven by the complexity of the project, market-based increases in construction costs, and newly implemented safety regulations. Many of these incremental costs are related to challenges associated with the repurposing of a section of the Montreal building for the sugar refining portion of the LEAP project. We have also updated the expected completion date of LEAP to the second half of fiscal '26, a delay of approximately six months from our initial estimate. We remain confident in the investment's value, which is supported by the robust economic fundamentals of the sugar industry in Canada. We expect a strong demand seen in recent years along with the related improved pricing in the market to largely offset the unfavorable impact of the incremental costs and longer construction schedule for the LEAP project. This is a very strategic investment providing unparalleled connectedness to the Eastern domestic market. It is close to our customers. It has a great rail service and is located at a port that is operating year round, thus facilitating the procurement of raw sugar. LEAP represents an important growth opportunity for our company and for the food transformation industry in Eastern Canada. Our customers are looking to us to meet their needs for the long term. As they grow, we will grow, so they can be confident of our ability to supply sugar when and where they need it. I'll now turn the call over to JS.
Jean-Sebastien Couillard: Well, thank you, Mike, and good morning, everyone. My part of the presentation begins on Slide 11. As Mike said in his remarks, we delivered strong financial results throughout 2024. The fourth quarter was no different with positive revenues and profit growth in both our business segments. Consolidated revenues for the quarter were CAD333 million, an increase of 8% compared with the fourth quarter of 2023. Consolidated adjusted EBITDA increased by almost 35% during that period to over CAD38 million. For the full year, revenues increased by almost 12% to CAD1.2 billion compared with CAD1.1 billion in 2023. Both, our Sugar and Maple segments, reported double-digit growth in revenues year-over-year. As Mike said, consolidated adjusted EBITDA for the full year increased by over 25% to CAD142 million. The Maple segment accounted for almost 20% of our total revenues consistent with last year and 13% of consolidated adjusted EBITDA. Consolidated adjusted net earnings for the full year were CAD67 million or CAD0.56 per share, compared with CAD45 million or CAD0.42 per share in 2023. The EPS number for 2024 includes the impact of the equity issue done in the second quarter, which increased our share outstanding by about 22%. Our strong business results drove an increase of 60% in our full year free cash flow to CAD73 million compared with CAD46 million in 2023. Now let's look at the individual business segments starting with Sugar. Adjusted EBITDA for the Sugar segment increased to CAD34 million in the fourth quarter compared to CAD24 million in the same period last year. For the full year, adjusted EBITDA increased to CAD124 million from CAD98 million in fiscal 2023. Revenues in our Sugar segment were CAD273 million in the fourth quarter compared with CAD256 million for the same period last year. For the full year, revenues in our sugar segment were just under CAD1 billion, an increase of 12% from 2023, mainly related to improved pricing including the benefit of higher world sugar commodity prices, partially offset by lower volumes sold. Adjusted gross margin per tonne of sugar was CAD217 in the quarter and CAD222 for the full year, representing an increase of CAD61 and CAD51 per tonne, respectively. These favorable variances were due to higher pricing, partially offset by higher production costs. The higher production costs were mainly related to increased maintenance activities in Montreal and Taber and market-based cost pressures. Administration and selling costs were higher for the quarter and the year, mainly due to market base increases in compensation and benefit costs, as well as an increase in share-based compensation expense. Now let's move on to the Maple segment where we are reporting strong financial results for our fifth straight quarter. Maple results benefited from higher volumes and improved selling prices. Revenues increased by more than 15% during the quarter and more than 10% for the full year. Adjusted gross margin for this segment improved to 10.3% in fiscal 2024. Adjusted EBITDA in Maple was slightly lower than last year for the fourth quarter due to non-recurring items. For the full year, adjusted EBITDA in the Maple segment was CAD18 million compared with CAD13 million in 2023. The strong results of our Maple segment seen over the last few quarters reflects the benefits of higher selling prices and higher volumes, as well as the investment in operational improvements implemented over the last two years. Our total CapEx for the year for both segments, excluding expenditures associated with the LEAP project, amounted to CAD32.5 million. This represents an increase of CAD6.5 million over 2023, reflecting incremental work done on our aging infrastructures in Montreal. Regarding our LEAP project, we have spent CAD53 million thus far, including CAD42 million in fiscal 2024. Looking more globally at our financial metrics, we continue on our path to maintain a strong balance sheet. Our strong financial performance through the year has translated into a significant uplift in our free cash flow for the year. For 2024, free cash flow was CAD73 million, an increase of CAD28 million over last year. We also executed a successful equity issue in the second quarter, receiving net proceeds of CAD113 million in support of the financing plan of our LEAP project. Our financing plan for the LEAP project is scalable, allowing us to meet the incremental expected construction costs Mike has highlighted earlier on. We continue to plan to fund this project through a combination of debt, equity, our existing revolving credit facility, and internally generated capital. We also have access to funds through two secured loans with Investissement Quebec. Considering our current liquidity and the timing related to the LEAP-related expenditures, we intend to repay our 6 Series convertible debentures which matured in December 2024 using a combination of available cash and/or our revolving credit facility. We will assess the need for future similar financing in the second quarter of fiscal 2025 while also considering the upcoming maturity of the 7 Series convertible debentures in June 2025. Finally, we have maintained our regular distribution to shareholders this quarter with a dividend of CAD0.09 per share. With that, I will turn the call back over to Mike to provide a summary and outlook for 2025.
Mike Walton: Thank you, JS. We are pleased with our results for 2024, especially considering the significant complexity added to the business from the Vancouver Refinery labor disruption. Following a year of strong performance in revenue, profitability, and free cash flow, we look forward to a consistent and stable financial performance in 2025. Looking at sugar volumes specifically, despite the volume softness in the last half of fiscal 2024, we anticipate an eventual continuation of the historic rate of demand growth for sugar in the market. Our current outlook is for sales volume of 800,000 metric tonnes in 2025. This is consistent with our expectation for 2024 prior to the impact of the labor disruption in Vancouver. At our Taber facility, we are in the processing stage of the 2024 sugar beet harvest and expect to produce between 105,000 metric tonnes and 110,000 metric tonnes of beet sugar from this facility. Although it is early in the process, the campaign is going well thus far. We expect 2025 profitability in our sugar segment to be in line with 2024. Market-based pressure on operating costs should be largely mitigated by the strength in product pricing that we continue to observe in the market, as well as by our own operational excellence. We also expect continued strength in our Maple segment results in 2025 following the market recovery of 2024. We had a strong maple crop in 2024, which will support the current market demand. We expect spending on CapEx to fall between CAD25 million and CAD30 million for the year across our business segments excluding the expenditures related to our LEAP project. This will be an important year for our LEAP project as the majority of the construction work will take place in 2025. Spending is expected to be in the range of CAD120 million in fiscal 2025. As JS said earlier, we have a financing plan in place to meet this demand for capital and we are excited about the work we are doing to position this company for long-term growth. With a year of strong performance behind us, our financing is in place, our expansion project well underway, and we are looking ahead to 2025 with confidence. I am grateful for the support and contributions of our Board, our Management team, and thankful to all of our employees for their hard work throughout the year. To our valued customers and business partners, we appreciate your support and look forward to continuing to serve you in the years to come. Thank you again for joining us on the call today and for your interest in Rogers Sugar. I'll now ask the operator to poll for questions.
Operator: [Operator Instructions] Your first question comes from the line of Michael Van Aelst with TD Cowen. Please go ahead.
Michael Van Aelst: Hi, good morning. I'd like to start off with the North American demand outlook for refined sugar, it is down slightly you said, and that doesn't look like it's changing in the short term, but you expect it to start increasing. I'm actually interested in when you're starting to expecting to see more sugar-containing product capacity amongst your customers in Canada so that it -- I'm talking about the capacity that ends up getting shipped back down to the U.S.
Mike Walton: Good morning, Michael. Yes, we're seeing -- we're looking -- of course, as we've got decades of experience in this, looking long-term at the growth back into the Canadian market for SCPs as you're referring to, for going to other markets, especially the U.S., we're suffering like everybody is globally in shrink inflation and food inflation and so that's created a bit of a softness in demand we saw coming out of 2024, that will probably continue somewhat through to the end of this calendar quarter. And our analysis shows those numbers starting to recover in '25 and some of that is supported specifically to the point you raised. Some of the customers that announced new plants and have built new plants in Canada, those plants will start coming on stream mid-2025. So we see the recovery from a couple of factors.
Michael Van Aelst: So, if that's the case, why are you not expecting an improvement in volumes, excluding the strike from last year?
Jean-Sebastien Couillard: Well, I think -- it's JS here, Mike. I think we're looking at this and there's still a lot of things in the air, and so, for us, 800,000 is pretty much operating at capacity, so it's very difficult for us to increase the current capacity that we have and going forward until we have the LEAP project on -- producing. And so that's why when we look at putting our outlook, we kind of have to pretty much stay with what we had in the past because there's not that much more capacity that we have in order to increase our volume.
Michael Van Aelst: Okay. So you're just shifting mix around -- you're just shifting mix, taking away from export, focusing on domestic customers, and are you getting to a point where you're having to choose between domestic customers as well?
Mike Walton: No, not at this point, Michael, because those customers are also ramping up. It's not an on-off switch as the demand starts to recover and new capacity comes on. So we're working closely with our customers and the numbers we're seeing and the forecast we have, this gives us the responsibility of the run rate we've put forward.
Michael Van Aelst: Okay. And you're -- the liquid volumes are down three quarters in a row and it seems to be getting -- that drop keeps getting larger, is that -- and it says temporary reduction in purchases from customers, but is that expected to stabilize shortly or…
Mike Walton: Yes, overall, the mix will move about with business opportunities, and as you may recall, about a year ago, a large liquid soft drink bottler in Calgary went back to high fructose corn syrup, and so that would be showing in the numbers, and we've offset those volumes, those intentional kind of lower margin volumes with stronger domestic price volumes in our product mix.
Michael Van Aelst: Okay. And then curious if there's any -- what kind of impact you're expecting from the dock workers strike, if at all for you? And then also, if you could give us your views on the potential risk of if there were to be a 25% import tax into the U.S. and all that business that's being produced here and shipped into the States?
Mike Walton: Yes. Thanks, Michael. And your first question on potential issues with dock workers or whatnot, it seems this is our normal course of operating environment in the last couple of years between the railway strikes and port strikes and other actions like this. We run intentionally high inventories on raws at all locations. And if you may recall from earlier conversations, as we pivoted this business three years ago, we doubled our onsite storage, for example, in Montreal of raws and we keep our pipeline of railcars more full and more at destination. So from a supply point on both raws and refined, these things are more annoying and costly than they are disruptive to actual supply to our customer network, and we can pull from multiple sites. I mean, if we got a problem in the east, we can pull from the west. We get a problem in the west, we can pull from the east. So we've got a very good moving trigger around the country and meeting the customer demand when and where they need it. As far as the big wild question of the week, which has made for a very interesting week I think for every organization in North America, we've been in business for almost 140 years and we've seen a lot of things come and go in trade, and we'll continue to focus on our business, we'll focus on servicing our customers and meeting our customers’ needs and helping them through this as well and see where it settles out, but we've -- as you know, we've been -- myself, I've been around over 40 years and been at the table in trade negotiations, I know how these things come and go, and we'll continue to just focus on servicing our customers and monitor it closely. I'm sure this conversation is going on in every boardroom in North America this week.
Michael Van Aelst: Yes, I guess I can imagine. Yes, I think there's a lot of different views you can have on this one and whether it'll come through or not, but probably just a negotiating tactic. But if it were to go through, does that make -- does that nullify the benefit of producing product in Canada with the lower Canadian sugar and shipping it back to the U.S.?
Mike Walton: We don't want to speculate, Michael, because it's just such a massive gap. Let's go back to fundamentals. I always come back to the fundamentals in these kinds of circumstances. The U.S. is a net deficit market, and I know you've covered sugar a long time and if you think back to the price spikes of the '70s and '80s, driven by demand in the United States, they will not go without sweetener, and it's a significant deficit versus domestic supply. So I just -- that I don't want to speculate, don't get trapped into making an assumption, but I would believe that over time, this will get some way sorted out, and all the boats are going to rise together regardless the demand will still be there, just could be at a higher price.
Michael Van Aelst: All right. I'll let somebody else jump in and I'll...
Mike Walton: Thanks, Michael.
Operator: And your next question comes from the line of Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good morning, guys.
Mike Walton: Good morning.
Stephen MacLeod: Just a couple of questions. Mike, you mentioned in your prepared remarks just some interesting commentary around consumers absorbing inflation into their decision-making. And I'm just curious, kind of how you've seen that evolve over the last, call it, 12 months to 18 months and sort of where you think we are in terms of the consumer's willingness to or ability to develop deflation and return to kind of previous consumption or spending habits.
Mike Walton: So, yes, there's no science in this for sure. We've been through, as I just said to Michael, I've been through world price spikes on sugar costs for many times in my career. Sugar still remains a very low-cost functional ingredient, whether it's for a consumer or for a manufacturer, and there aren't many alternatives that can replace sugar at the same price and the functionality of sugar, so that -- the sugar consumption will recover as consumers start purchasing. The softness that we see more is on shrink inflation. So just to pick one subject, if you say a chocolate bar, if someone bought a, I don't know, a 200-gram chocolate bar, was a normal portion, and now they're 175-gram, they're still only buying one, and so pounds of consumption drops. We've seen those in previous spikes in food inflation through our tenure in this business, and over time, the sizes come back and consumption comes back on a poundage basis. So it's more shrink inflation than cost inflation directly, and I think that will start to play out after we get through the holidays.
Stephen MacLeod: Right. Okay, that's helpful. Thank you. And then just on the revised LEAP project expenses and timing, just curious sort of what your level of confidence is around the revised timing and around the revised costs.
Mike Walton: That's a great question, Stephen, and we've spent a lot of months looking at this since we gave a heads-up last quarter that we were starting to see some drift in the numbers. I think foundationally it pivots off the same point you just asked about inflation. Our numbers for the LEAP project were established two years ago, and so just like we're seeing inflation in food products, we're also experiencing food inflation on the other side. We're not insulated from it either. And so those cost assumptions and analysis that were done were almost two years old. Some of them, they're now refined, they're more firmed up, more commitments are made, a higher percentage of our contracts are awarded, and our degree of confidence is significantly higher in the number we've put forward now. And by an unforeseen circumstances, this should be where we deliver the project.
Stephen MacLeod: Okay. That's great. Thank you. And then maybe just on the outlook, just thinking about the Sugar business, you're guiding to kind of flat -- yes, I mean effectively flat gross margin year-over-year, which is at a new higher, I guess, watermark or benchmark I would say. So I'm just curious, is that a good -- is that in fact a high -- a new high watermark for you in terms of the adjusted gross margin per metric tonne in that like CAD220 range? And is that something we can expect even beyond next year as you get the LEAP project moving and benefit from all these -- all those new capacity coming online as well?
Jean-Sebastien Couillard: Hi, Stephen. It's JS here. I think from a gross margin standpoint, if you look over the last two years, the incremental gross margin is somewhere around 40% to 50% increase that we've seen, which is quite strong. Obviously, we're not expecting such increase going forward, but such increase actually helps from a LEAP perspective in the sense that, if you look at the cost -- the incremental cost we have, when we did the first analysis, we obviously didn't use those kind of margin, I think this type of margin is sustainable. Now, we have to bear in mind that the extra capacity coming from LEAP is industrial capacity, so the mix will change a little bit. So I wouldn't add 100,000-tonne at this type of margin, so it would slightly be a bit lower on the new capacity. But for the remaining capacity for what we have, I think we're comfortable with that on a going forward basis. However, we're not expecting the same type of growth that we've seen over the last two years.
Stephen MacLeod: Okay. Thanks, JS. And then maybe just finally on Maple, you're still kind of expecting that 10% gross margin rate going forward?
Jean-Sebastien Couillard: Yes, yes, we are.
Stephen MacLeod: Great. Okay. Thanks, Mike. Thanks, JS. Appreciate it.
Mike Walton: Thanks for your comments.
Operator: Your next question comes from the line of John Zamparo with Scotiabank. Please go ahead.
John Zamparo: Thank you very much. Good morning. I wanted to come back to the tariff question. I wonder, as you see the industry in the U.S., do you think there's an ability for U.S.-based competitors to ramp up production relatively quickly to fill that gap versus consumption?
Mike Walton: John, that's a really great hypothetical question. And just to be clear, are you referring to sugar refining specifically or food manufacturing?
John Zamparo: I suppose both.
Mike Walton: Yes. Well, sugar refining is generally running at capacity. There hasn't been a lot of expansion in the us. There could be some tweaking to get it up to capacity, to get more capacity into the U.S. market, but in my humble opinion, not within three years to five years could they even possibly be a self-sufficient supplier in the U.S. market.
John Zamparo: And I suppose projects are different everywhere, but your experience with LEAP, the timeline for construction to your comment about three years to five years, the timeline of your construction project wouldn't be meaningfully different for anyone in America building at that pace, I assume.
Mike Walton: Yes, that's exactly it. And if it was food manufacturing, to add capacity even to existing sites in the United States, one could hypothetically realize that they could expand the food manufacturing production lines and capacity, but they got to have sugar to feed it, so it's a vicious circle.
John Zamparo: Right. Okay. Does the volume guide assume any impact of tariffs or is that separate at the moment?
Mike Walton: No, it does not.
John Zamparo: Okay. And then leaving exports aside, you've taken a meaningful level of share in Canada over the past few years, I wonder if you could talk about the potential to gain more share from Canadian customers that are not shipping across the border.
Mike Walton: Yes, I think, John, one important distinction is we have not taken share. We're just taking our share of the growth in the Canadian market. The Canadian market has grown substantially because of SCP trade and population growth. So it is not a share gain, it is a growth in the market, and they're all sharing our own piece.
John Zamparo: Okay, got it. And then one last one for me on LEAP. Just coming back to your level of confidence in the total cost, I wonder if you have firm commitments on the price of equipment and also labor, I don't know, how you might frame this, but of the CAD280 million to CAD300 million total cost, is a certain amount of that effectively locked in at the moment?
Mike Walton: Yes, John, on the equipment side and services and supplies, about probably near 90% is locked up and firm. Construction costs, of course, is the next big phase. Those are guidance and estimates with appropriate contingencies that match the complexity of the project -- of the product -- project. And so we're, as I said earlier, we're as confident as we can -- given what we know today, we should be able to deliver this project at the numbers we've indicated.
John Zamparo: Got it. Okay. I appreciate the color. Thank you.
Mike Walton: Thanks, John.
Operator: Your next question comes from the line of Zachary Evershed with National Bank Financial. Please go ahead.
Zachary Evershed: Good morning. Thanks for taking my questions.
Mike Walton: Good morning, Zach.
Zachary Evershed: Roughly speaking, could you refresh us on what percentage of your sales in Canada are used in SPs that are subsequently exported to the U.S.?
Mike Walton: Somewhere between 30% and 45% of all refined sugar in Canada ends up in a sugar-containing product that leaves and goes to the United States or Europe or other jurisdictions, but predominantly United States.
Zachary Evershed: Good color. Thanks. And then you mentioned that you'll be waiting until Q2 to take a look at your options for equity financing and maturing debentures, what additional information are you hoping to get by that time to influence your decisions?
Jean-Sebastien Couillard: I think we -- Zach, it's JS here. We're going to look at the market. I think we've seen a tendency of interest rate that are coming down. We're also looking at our own liquidity. We're going to look at the pace of spending for LEAP. Right now we're quite comfortable with our liquidities. So as we get into January -- into the new year, I would say, which is for us second quarter, we'll evaluate the best course of action. So we will repay the Series 6 at maturity and then assess the overall need for the following year, also considering the maturity of the Series 7, that's in June 2025.
Zachary Evershed: Thank you very much. And then last question on the guidance for Maple volumes, is that a reflection of consumer sentiment or how much torque do you think there is there on operating leverage?
Jean-Sebastien Couillard: You're asking about the Maple business, sorry, Zach, I'm sorry, I dismissed that.
Zachary Evershed: That's right.
Jean-Sebastien Couillard: Okay. So on the Maple business, we've done a great amount of work over the last two years in operational efficiencies. I think we -- sometimes we can call it rightsize of business and looking at different options for all our different production facilities, I wouldn't say there is no more way to -- you always strive to get better, but I think from an operational standpoint, we're quite comfortable with our production costs and our production throughput from our Maple facility. So looking at Maple going forward, it's more a question of volume, sales, and pricing.
Mike Walton: And Zach, to add to that, we've seen global demand which is tracked by many agencies on Maple because it's a very concentrated supply base. We're seeing growth return in foreign markets, U.S. and Europe especially, where consumers are coming back to Maple, coming out of the inflationary environment, they're coming back, so we're seeing growth.
Zachary Evershed: Thank you very much. I'll turn it over.
Mike Walton: Thank you, Zach.
Jean-Sebastien Couillard: Thanks, Zach.
Operator: And we have a follow-up question coming from Michael Van Aelst with TD Cowen. Please go ahead.
Michael Van Aelst: Thank you. Just a few quick ones here. You talked about some non-recurring items in Q4, I think both last year and this year for the Maple side, can you give us some details on that and what a normalized number would have looked like?
Jean-Sebastien Couillard: Yes, I think the normalized number would be aligned with what we delivered for the year, that's somewhere just north of 10%. Some of the stuff we had in the fourth quarter are mainly related to old inventories that we had that we had to take care of, so part of our overdue process.
Michael Van Aelst: Okay. And do you have price increases already announced for Maple for next year?
Jean-Sebastien Couillard: Typically, Michael, the pricing increase has come out after the negotiation with PPAC for the base cost of the commodity of the syrup, which is in the process now. And we generally line up our negotiations with the sellers a different cycle than sugar, of course, because of the supply, and we will have new price increases that will start somewhere in the first calendar quarter of 2025 once we confirm the base commodity costs.
Michael Van Aelst: Okay. And then on the sugar side, so it sounds like kind of stable volume without excluding the refine -- the strike and stable margins, so is it basically -- are you basically just guiding towards fiscal '24 EBITDA plus the CAD5.5 million roughly from the Vancouver strike for fiscal '25?
Jean-Sebastien Couillard: I think our guidance is that it's probably aligned with those. I think we're more towards like the volume and then we will assess where this volume is going to come from. So I think it will depend on the mix of product that we're going to sell will have an impact. I think one thing about the Vancouver strike, it can't -- it can only be taken out, well, okay, it's 23,500 tonnes. I think there was some lingering effect as well, and then some of the mix has changed since then, so I think we're recapturing all that. I think we're quite comfortable with our volume outlook and probably adding a little bit from the recovery from the strike.
Mike Walton: And Michael, if you go back to a year or so ago, we made our comments that we're quite satisfied with the overall volume that we're delivering in the market right now, and we get LEAP on stream, and we're focused on the profitability and sustainable profitability of the business, and so that's our focus. And so operation, it's not just pricing, operational excellence and execution against our business metrics is really our focus going forward as we stabilize the business at this new base level.
Michael Van Aelst: Okay. Very good. Great, thanks. Good luck.
Mike Walton: Thanks, Michael.
Operator: Thank you. And I'm showing no further questions at this time, I would like to turn it back to Mike Walton for closing remarks.
Mike Walton: Thank you, operator. And thank you everybody for joining us today. And we look forward to updating you in February at our next quarter call. Have a good holiday.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.